Operator: Good day and thank you for standing by. Welcome to the Gevo Incorporated Q2 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is recorded. I would now like to turn the conference over to your speaker today, Doctor Eric Frey, Vice President of Finance and Strategy. You may go ahead.
Eric Frey: Good afternoon, everyone. This is Eric Frey, Vice President of Finance and Strategy. Thanks for joining us to discuss Gevo's second quarter results for the period ended June 30, 2024. I'd like to start by introducing today's participants from the company. With us today are Doctor Patrick Gruber, Chief Executive Officer, and Lynn Smull, Chief Financial Officer. We also have Doctor Paul Bloom, Chief Carbon Officer and Chief Innovation Officer, joining us today. Earlier today, we issued a press release that outlines the topics we plan to discuss. A copy of this press release is available on our website at www.gevo.com. Please be advised that our remarks today, including answers to your questions, contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently anticipated. Those statements include projections about the timing, development, engineering, financing and construction of our sustainable aviation fuel projects, our recently executed agreements, our renewable natural gas project and other activities described in our filings with the Securities and Exchange Commission, which are incorporated by reference. We disclaim any obligation to update these forward-looking statements. In addition, we may provide certain non-GAAP financial information on this call. The relevant definitions and GAAP reconciliations may be found in our earnings release, which can be found on our website at www.gevo.com in the Investor Relations section. Following the prepared remarks, we'll open the call for questions. I'd like to remind everyone that this conference call is open to the media and we are providing a simultaneous webcast to the public. A replay of this call and other past events will be available via the company's Investor Relations page at www.gevo.com. I'd now like to turn the call over to the CEO of Gevo, Doctor Patrick Gruber. Pat?
Patrick Gruber: Thanks Eric. Good afternoon, everybody, and thanks for joining us on our call. We are filing our form 10-Q today, and we ask that you refer to it for more detailed information after this call. Now, at the outset of the year, we outlined three areas on which we will report. Net zero one, DOE loan, and project financing achieving revenue from Verity and our RNG business. Today we'll give updates on each of those. Now, we believe that each of those things can create tremendous value for us. And of course, the first two are game changers. So from the outside it might seem like we've been kind of quiet, but here on the inside it's been an incredible amount of work in progress. Now, we're not permitted to talk about specifics regarding the DOE loan process. I can say that the amount of diligence work required is truly impressive and thorough. There are a lot of third parties who are hired by the DOE to poke holes in what we are doing. Everybody is working hard, staying on task. It's on track and so we can finally give better guidance. We are working to get and we expect the project finance at Grand V one to be closed by the end of the year. That's a pretty important point of view that we can finally articulate. We very much look forward to that and to being able to announce everything else are working so hard on. So, stay tuned. But we also have good news on the NZ one development costs. Lynn Smull, our CFO, is going to give an update on that and our operations then Paul Bloom will talk about our progress on our Verity business. Lynn?
Lynn Smull: Thanks Pat. As Pat mentioned, we are excited to report that the US Department of Energy loan guarantee process is progressing as expected and we are targeting a financial close by the end of 2024. We are also pleased to report that our total NZ one development spend to financial close is tracking under the range of $90 million to $125 million that we disclosed earlier this year for the spend expected between January and financial close. At financial close, we expect all of Gevo's cumulative development capital spend to be recovered and then all or a portion of that recovery to be contributed as equity alongside the third-party debt and equity funding commitments that are necessary to fully construct and commission the project. After financial close for the project, we do not expect to incur additional cash spend during the construction phase. Net zero one's financial close will be a game changer for us. It has been a long road, but if things continue the way they are going now, then we believe we are in the home stretch. We look forward to sharing more details soon. Regarding results of operation in the second quarter of 2024, the RNG business debottlenecking and expansion projects allowed the project to achieve an annualized production rate of approximately 400,000 MMBtu, an increase of approximately 22% compared to the same period last year. We sold approximately 95,000 MMBtu of RNG during Q2. RNG revenue of $4.3 million for Q2 included RNG sales of $0.1 million and $4.2 million net proceeds from the sale of environmental attributes related to RNG. Gevo's Q2 combined revenue and interest income was $9.4 million. Our corporate spend, that is SG&A was $7 million for the quarter, excluding non-cash stock based compensation of $4.5 million, which is a $0.4 million increase from the second quarter of 2023, mainly due to increased personnel cost. We ended the second quarter of 2024 with a liquidity position of $315.3 million in cash, restricted cash and other liquid investments. The restricted cash portion is $69.6 million and collateralized our RNG bond letter of credit. During the six months ended June 30, 2024, we had $26.7 million in cash used in investing activities comprised of $15.3 million for NZ one development, $9.9 million in the NZ program modularization, design and engineering work, $1 million in the RNG project and about a half a million in skid transportation costs. Gevo continued to utilize its previously announced stock repurchase program in Q2 and year to date through August 8, 2024, we've repurchased approximately 7.2 million shares of our common stock for $4.7 million, leaving $20.3 million available under the stock repurchase program. Please note that under the stock repurchase program we may purchase shares from time to time in the open market or through privately negotiated transactions. However, we are subject to various restrictions on our ability to buy back our shares, such as blackout periods under our insider trading policies, when we have earnings coming up or we have other material, non-public information. There are also restrictions on the intraday timing and maximum volumes we can repurchase on any given day. The timing, volume and nature of future stock repurchases, if any, will be our sole discretion and will be dependent on market conditions, applicable security laws and other factors. I will now hand it over to Paul Bloom, our Chief Carbon Officer and Chief Innovation Officer, to share the latest of our wholly owned subsidiary, Verity Holdings, LLC.
Paul Bloom: Thanks Lynn. Verity is our digital end to end carbon accounting tech startup that we launched a few years ago and then formed our wholly owned subsidiary, Verity Holdings LLC, earlier this year. Originally, we designed Verity to track improve the carbon intensity of Gevo's SaaS production from field to seat on the aircraft. Starting in 2023, we opened up our proprietary platform to provide carbon accounting and supply chain traceability solutions to other biofuel producers, farmers and value chain partners. Verity plans to derive the majority of our revenue from software as a service or SaaS fees and profit sharing with biofuels partners, while helping to reward farmers for reducing their carbon footprint with climate smart agriculture done right. As previously mentioned, we anticipate first revenue at Verity this year and will share more details as that happens. We have a number of updates on Verity in the second quarter and I'll cover those now. First, I'd like to highlight our efforts on product enhancements. Verity is working with Google to accelerate the integration of artificial intelligence, known as AI, into our platform. We're very excited about this as AI is expected to provide an improved customer experience and help our users further optimize carbon intensity reductions throughout their business systems and supply chains. The benefits you get from AI make a lot of sense relative to the high quality, data driven environment of Verity, and we are thrilled to be working with Google on this initiative. Second, let me highlight a few new collaborations. Verity and Landus, a leading farmer owned cooperative, signed a letter of intent to work together to provide full end to end low carbon commodity solutions for biofuel producers. We intend to do this by leveraging Landus’ deep expertise and outstanding Grower network coupled with our proprietary Carbon Accounting Platform. Landus touches 34 states and 16 countries while serving over 5500 farmers and their families. In addition, we previously announced that Verity and ClearFlame initiated a collaboration to drive decarbonization traceability from field to fleet for the road transportation market, which consumes an estimated 29 billion gallons of fuel every year. Finally, at the end of the second quarter, Verity had 100% farmer retention in our growers programs, comprising approximately 76,000 acres, which includes Zebla's farm to flight USDA Climate Smart Commodities Grant. This represents an increase of 17% from the previously disclosed 65,000 acres. We look forward to the continued progress to drive our field level tracking well beyond 100,000 acres next year. That's an overview of the major updates on the Verity front this past quarter. Obviously, there's a lot going on, so happy to answer questions about this to the extent we can. Now I'll hand it back over to Pat.
Patrick Gruber: Thanks Paul. Let's next touch on our renewable natural gas business. Now the project itself is already cash flow positive and helping to cover some of our corporate costs, and that's a great thing. Now, we expanded our capacity from about 350,000 to 400,000 million BTUs per year, and it's been operating well. We're now exploring further expansion through incremental debottlenecking in order to achieve an annual RNG production capacity towards 500,000 million BTUs per year. And that's with a minimal additional capital expense, minor. We have learned a heck of a lot about that business, it's been tremendous, and the team has done a great job. We are starting to develop a line of sight for the time-line, we can expect to receive approval under California's low carbon fuel standard, the LCFS program for our final pathway for the RNG project. It looks like another six to nine months, which we don't like. But you know what? At least we can see it now we know it's being worked on. This would allow Wasp reduce our carbon intensity score for the project to approximately -350 as the CI score, rather than the temporary score of -150 under which we have been operating with temporary pathway. This approval would be expected to significantly increase the revenue from our RNG project. With the final pathway, and if we see a recovery in California carbon prices, the RNG business could get downright exciting, especially with the expanded capacity. Okay, to reiterate, on NC projects, we are targeting completion of the project level financing of net zero one by the end of this year. I'm glad we can finally say that out loud. We also have been moving forward on another potential net zero site. This one ought to catch people's attention and help people understand what else we've been up to. We look very much forward to telling you all about it as soon as we can, so stay tuned. All right, then. Let's open it up for questions.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Saumya Jain at UBS Saumya, your line is now open.
Saumya Jain: Hey. Yes, I guess I was wondering if you guys could provide more color on the stock repurchase program. I know you mentioned a bit that you guys had repurchased about 7.2 million shares this year. So, I guess. How are you looking at that for the next, for the coming quarters?
Patrick Gruber: Well, we can't really offer any comment on that? I think Lynn outlined some of the restrictions we're under.
Saumya Jain: All right. Got it. And then could you. I guess, any updates on the collaboration with LG Chem?
Patrick Gruber: Yes, that one's going great. So we had a milestone. You know, we're scaling up this technology called ETO. ETO technology to refresh everybody's memory is a technology that converts ethanol into olefins, hence ETO, ethanol to olefins. And it is an innovative technology that addresses the main problem in converting ethanol into these hydrocarbon products. It cuts down the capital and operating costs by significant amounts. That project is working very well. It also has the ability to make propylene. So, we had a set of milestones set up that proved it out at a, it's bigger than a bench, not quite the size of a giant demo plant, but it's a bigger it's reasonably sized plant where we did test it out. Where we did test it out, it looks like it hit all the, checked all the boxes for the next stage of scale up. So, we're working with LG Chem on that program. The great thing about that is LG Chem puts the bill, they pay us the royalty and they've been a great partner and they want to see this commercialized. And it's all about getting renewable propylene. Now, all of the technology that we develop and the techniques that we develop also apply over to us in trying to make hydrocarbon fuels. So, it's hitting its milestone and it's doing well. And the next step will be to get it scaled up to a bigger plant. And that's being those plants being put in place right now.
Saumya Jain: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Peter Gastreich from Water Tower Research. Peter, your line is now open. Peter, your line is now open.
Peter Gastreich: I'm sorry I muted the, apologies. So, Yes. So, thank you very much for the call today. It's great to hear the status on NZ One financial close, kind of zeroing in a little bit. I think your last guidance was potentially into early 2025. Hearing by end of 2024 is really great to hear. Just a couple of questions. The first one would be just related to the LCFS market. I wonder if you could give any kind of a guidance to kind of where things are standing going into the third quarter and kind of what you think, what kind of might need to fall in place to kind of start seeing that turnaround. And the second one is kind of, I know this is, no one has a crystal ball, but this is a year we have election cycle sort of coming through. And I'm just kind of curious your thoughts if there's any certain components of the SAP industry which may face more risk or not? I'm just kind of asking that because I think that there are certain aspects of the industry which to me they just seem to, you know, potential, have some potential for finding agreements on sort of both sides of the aisle. You know, for example, the fact that, you know, SAPS is very beneficial potentially to agricultural industry. It seems there is some agreement both sides of the aisle with, you know, carbon capture as well. So, I just be curious, kind of your top-down thoughts on that as well. Again, just given that we've got election cycle coming up. Thank you very much.
Patrick Gruber: Sure. So, first off, in California, the LCFS market, it's hard to predict what's going to happen with carbon price. And they all, when we have, when we look at all the consultants and analyst reports, everybody thinks it's going to increase eventually. And so, for us, that's going to be good in the long run. But you know what? When we're selling jet fuel, when we have NZ one running, it isn't going to all go to California anyway. It's going to go to Illinois, where there's a dollar and a half tax benefit. Or it might go up to Washington state or Oregon or Minnesota or one of these other places where there's state level tax credits. So, it really is not one of these things where it's not being built to send it to California. It's going to go built wherever they're sent to the highest margin environment. And everybody is oriented that way. So, it's pretty interesting and that's going well. And then in terms of the, what's interesting about a business like ours is that, it's an infrastructure development business. We're creating new infrastructure. It's energy security. It is, yes. We're solving a carbon problem. We're doing it cost effectively. We have published our McKinsey results previously, and anyone who, you should all look at that carefully and you'll see that we have the lowest cash cost production. We have capital costs that have to be paid back great. That's what government incentives pay for. But the payback is quite great for those government incentives. So, it's a, there's a lot of good things to rally around and that we can solve a problem. It's a drop in fuel. You don't have to create all new infrastructure. It's leveraging existing infrastructure. We're building new renewable energy infrastructure in concert with the jet fuel. So, it's a, there's a lot that is good about this, and it's in rural America and it helps climate smart agriculture, it helps rural farms, it helps the environment. So, both sides of the aisle like what we're doing, near as we can tell. And so, we are a project that we see people, lots of folk, political folk of all types, are keeping an eye on us because we're trying to get it done right. So, it makes sense. We're not trying to say, give me the windfall. We aren't doing a windfall. We aren't asking for a windfall. Incremental progress will show the results. We can prove that we've done well. We've reduced carbon. We can prove it. You know, we're building up the infrastructure, creating a whole bunch of jobs. And you'll stay tuned. We're going to publish a report about this tomorrow. But it is good. It's a good story. It plays politically. So, we're an example where it can be done right. And so, I think that helps the rally point now in terms of what coming into policy then what you have to take into account is the IRA bill so far. And the precedent set under 40b was pretty darn good, in that it did enshrine the Grete model, albeit a modified Grete model. Still, it's pretty good what they did. And it's enshrined. So that eliminates that doubt for the future. And then it also enshrined carbon sequestration. That's good. And it did enshrine at least the beginnings of how to account for agriculture and inputs for the raw materials. And that's important. They did it with, by bundling and some other things. And they'll be, that'll get modified over time. But you know what? It's a great step in the right direction. And so, it's a, we're liking all the steps that we see. We know that talking with lots of people on both sides of the aisle, people, they want it. They like it when you can prove that you did something to get something from the government. That plays pretty darn well. And so, I think that trend will continue. So, I think there's support on both sides of the aisle for extending 45z or 40b, but probably 45z. And I think we'll see that support. I heard there was a letter today that was sent, a bunch of republicans got together in the house and we're saying that they want to see it extended. So, we'll see. You know, it's a. We're in a good spot. And of course, as we're planning, our economics has to withstand all challenges for the future. The good news is it looks like it does. So, we're in pretty good shape overall.
Peter Gastreich: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Amit Dayal from HC Wainwright. Your line is now open.
Amit Dayal: Thank you. Good afternoon, everyone. So, hey, Pat, with respect to the non-GAAP adjusted EBITDA range, $7 million to $16 million for RNG. It's a pretty wide range, Pat. Like, what are the drivers? Is it just the CFS pricing that is going to sort of drive where you come out with this? Or is there something else?
Patrick Gruber: No, no. This year, this year we thought we were going to, we originally, we should, in a normal world, when normal operating systems and all the rest. We should have had the -350 pathway approved at the beginning of the year. That's what should have happened. But they had everything on hold in California while they were doing whatever they were doing. Now they picked up pen again, and now they're working on it. So that delay, we would have been in that range solidly, just with that pathway change. Now, the carbon prices have been low, so we would have probably been near the low end, but of that range of seven to 16. But that is really due to the fact that we just didn't get the pathway approved. It was out of our control. That's the trouble with these kinds of businesses. Good news. We know for sure they're working on it right now. So that's a really good thing. And then I think what I also like that our team has done is figured out ways to cheaply expand our operation and make more gas. I like that we were already in the top five size of projects in the country for dairy manure, and I think could be even bigger. Now, that's a pretty big operation. If we get to the 500,000 million BTUs, it's good. It's going to. It should generate nice profit. Okay.
Amit Dayal: So if these two things come into play, say, by this time next year, would you be sort of even above this range for the non-adjusted, you know, gap contribution, EBITDA gap contribution in this?
Patrick Gruber: You know, if the carbon price. It's been the carbon price. So, more gas good -350 pathway, that would double the revenue from California straight away. Right. So, you would say that automatically, we're at -150 and we'd be at -350 you'd think. And we did $1 million of EBITDA positive cash flow. 350, you'd think. And we did $1 million of EBITDA positive cash flow. Well, that will at least double that, a quarter. So, it's something like that. And that's at a really low carbon price. So, if carbon prices come back, there's quite a lot of leverage here. Plus, we'll have gas. So that's how you should look at it. You got three variables. More gas, you got. You got carbon price. And that's carbon price is really one of the biggest leper of all. If we were anywhere back to normal, this business would be a pretty damn big business. And then you have, you know, the pathway.
Amit Dayal: Understood. No, that's very helpful. Thank you. With respect to the DOE loan, are there any specific catalyst or any specific aspects of the NZ one build out that the DOE is looking into or is it just the whole application that they are going through? Any color on that would be helpful?
Patrick Gruber: No, I can't give any specifics. We're under orders not to talk about it. The only thing I can say though, is the amount you can nobody. We're going to have to do an after action. When it's all. All done and all complete and all booked, we'll have to do an after-action report about what it takes to get something done. It's mind boggling as to the amount of effort. And the thing is, everyone is doing a good job. Super professional, super thorough, really cooperative. It's just an immense amount of work. And what's good about this is they're so thorough. That should help us when it comes time to the equity part of the raise too, because the diligence work's already been done and it's done by people who are skeptics. So, you think about that. The DOE isn't trying to hand the money out, they're trying to prove out why they should when they bring in a third party. And the questions are all around. Hi. We're not going to give. We're going to poke holes in this and say no. And we're going to find ways to say no. So, you got to overcome all those challenges. And so, it's a pretty robust process. That's all I can say. And it's going okay.
Amit Dayal: Can you remind us how much is the application for? Is it like $900 million or a different amount?
Patrick Gruber: It's in. It's in. It's in that quantum. It's a big grant. It's a DOE loan guarantee and it's in that range. It's in that quantum.
Amit Dayal: Okay, just last one for me. Google's involvement in Verity, are they making any investments or are they just sort of supporting the effort and maybe providing other resources to get more traction and development going for this offering?
Patrick Gruber: Paul, why don't you talk to them? Talk about it, address it.
Paul Bloom: Yes. Thanks, Mitt, for the question. So, Google has been a partner with us on the USDA grant that we've got for some time. So, we've got a great relationship with them, but basically, we're implementing the AI tools that they have available into the Verity platform. So that's really how to think about it.
Amit Dayal: Okay, understood. All right. It looks like you're making good progress on that front. So congratulations. Thank you. Yes, that's all I have, guys. I'll take my other questions offline. Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back to Doctor Patrick Gruber for closing remarks.
Patrick Gruber: Well, it's been a, this is. The amount of stuff that's going on behind the scenes is pretty profound. We're hitting all of our internal milestones that we had set and we feel pretty good about that. And we're making progress. And soon we'll be able to talk about things more robustly and explain them. But it's a, you know, we're a great cash position. We are. We see good opportunities in front of us to invest cash and we see that, you know, we're in the tunnel and I can see that. There's the light. I got it. I can see it. And our team, I think, feels that way. So, we're getting there. We're getting there. And I also like our opportunities to generate cash and start to work towards being a profitable company because I think that has potential as well. With that, I want to thank you all for joining us and have a good afternoon. Thanks.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect it.